Operator: Good morning. My name is Dennis and I will be your conference facilitator today. At this time, I would like to welcome everyone to Lear Corporation's fourth quarter 2007 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. (Operator Instructions) Thank you. I would now like to turn the call over to Mel Stephens, Vice President, Investor Relations.
Mel Stephens - Vice President, Investor Relations: Okay, thank you. Good morning everyone, and thanks for joining our fourth quarter earnings call. By now you should have received our fourth quarter earning's press release and our financial review package that we intend to review on the call today. These materials have also been filed with the Securities and Exchange Commission and they are posted on our website at lear.com through the Investor Relations' link. Our Chairman, Bob Rossiter, is traveling in Asia today and so he will not be joining our call. The presenters for today's review are Matt Simoncini, our Chief Financial Officer, Dan Ninivaggi, Executive Vice President, and James Vandenberghe, Vice Chairman. And also here in Southfield participating on the call are Shari Burgess, our Treasurer, Wendy Foss, Controller, Bill McLaughlin, in Tax, John Trifall, Vice President of Business Planning and Analysis. Before we begin, I would like to remind you all that during the call, we will be making forward-looking statements that are subject to risks with uncertainties, and there still are factors that could impact our future results are described in the last slide of our deck and also included in our SEC filings. In addition, we will be referring the certain non-GAAP financial measures. Additional information regarding these measures can also be found in the slide labeled non-GAAP financial information, which is at the end of our presentation. If you will turn the slide number 2, here we show an agenda for today's review. Matt Simoncini will begin and review our fourth quarter and full year production for our top five customers in Europe was up 4%. Commodity cost changes did not have a meaningful impact on our results in the fourth quarter on a year-over-year basis. Slide #6 provides our financial score card for the fourth quarter in more detail. Starting with the top line, we post a net sales of $3.9 billion, which is down 422 from last year. The economy caused the divestiture of our interiors business. Net sales in our core businesses were off over $200 million from a year ago, primarily reflecting favorable foreign exchange and the addition of new business outside of North America, offset in part by unfavorable platform mixed in North America. Our reported pre-tax income was $45 million, and that income was $27 or $0.34 per share. These levels represent sound improvement from losses a year ago. On the next slide, I’ll show a result excluding infrastructure cost and all the special items, The highlight underlying operating performance. SG&A as a percentage of net sales was 3.8% compared with 3.6% a year ago. Interest expense was about $49 million, down $3 million from last year, primarily reflecting lower net balances. Depreciation and amortization at about $76 million was down from a year ago, reflecting the divestiture of our business. Other income was $10 million, compared with an expense of $61 million a year ago. Last year, other expense included a walk of about $49 million; that was related to the extinguishment of debt. This year, other expense was impacted by purchased accounting adjustment made IAC and favorable results all were not consolidated joint ventures. Slide #7 summarizes the impact that restructuring, actions, and other special items on a reported fourth quarter results. Reported income become interest, and income taxes were $86.6 million. Excluding restructuring costs, the other special items cooperative earnings were $178 million. This compares with $161 a year ago. The improvement in operating earnings primarily reflects increased savings from restructuring actions, favorable cost performance, and the impact of new business outside of North America. I will clarify how these special input items impacted our financial statements. We have indicated the amount by stating the category on the right-hand side of the chart. Slide # 8 summarizes the impact of major performance items on our fourth quarter sales and margin compared with a year ago. As you can see, the major growth factor for the change in sales was divestiture of the interiors business, an unfavorable platform mix in North America. Partial offsets were the favorable impact of foreign exchange and new business outside of North America. The margin improvement was more than explained by favorable cost performance, the benefit of new business, and the divestiture of the interiors business. Slide # 9 starts breaking down our performance by product line. Our CD business continued to perform well in the fourth quarter with a 6.7% adjusted margin. This is equal to a year ago. For the full year, our adjusted CD margins improved from 5.6% to 7%. The four-year improvement in our CD margins reflect favorable cost performance from restructuring, and ongoing efficiency actions, margin improvement actions including selected vertical integration and the benefit from new business globally. For 2008, we are forecasting our CD margins to be in the mid 6% range. This is down slightly from 2007, reflecting the adverse impact of lower industry volume and unfavorable platform mix in North America. In our electrical/electronics business, fourth quarter adjusted margins remained below target, but warped slightly from a year ago, reflecting favorable minor commodity cost. For a full year, our adjusted electrical/electronic margins were down from 4.9% to 3.6%. The decline reflected a very competitive net pricing environment, and the roll off of several key programs in North America. We have been taking actions to restructure our business, including footprint moves and increasing our low-cost country capabilities. In addition, we have recently been awarded significant new programs. These programs will begin coming online over the next couple of years. Accordingly, we expect our margins will improve about 100 basis points this year to the mid 4% range in 2008. Free cash over the positive $171 million in the quarter, with ongoing restructuring investments being funded through operations. For the full year, free cash flow was $434 million, an improvement of over $300 million compared with a year ago in our strongest cash performance since 2003. The year-to-year improvement reflects improved earnings in our core business, the divestiture and the interiors business, and lower capital spending offset slightly cost to restructuring. Turning now to our assumptions for this year’s outlook. In North America, we’re expecting industry production to decline to about 14.4 million units. This is down 4% from a year ago. Production for the domestic three is expected to be down about 9%. The top 15 platforms forecast to be down 12%. In Europe, we see industry production of about 20 million units roughly flat with last year. Production for our top 5 customers in Europe expected to be down about 2%. As for the Euro, we are forecasting a rate of about $1.45 per Euro for the year, which is about 6% stronger than last year. Commodity cost is not expected to have a material impact on 2008. Slide number 13 summarizes our 2008 financial outlook. We are forecasting net sales for 2008 of approximately $15 billion; this is unchanged from the prior outlook. The core operating range is estimated to be in the range of $660 million to $700 million. Interest expense is estimated to be between $185 million and $195 million. Our forecast for pre-tax income adjusted to exclude restructuring cost and other special items in the range of $430 to $470 million. Our estimate for tax expense is about $135 million and restructuring cost estimated to be about $100 million. Capital spending expected to be in the range of $255 million to $275 million. Depreciation amortization is estimated at about $300 million. Lastly, free cash flow is expected to be in excess of $250 million, this is down from 2007 reflecting a lower earning and higher capital spending and timing of cash used for restructuring actions. My final slide is a recap of the sales back logged information we provided earlier this month. I have included it in here for reference as we refer to some of the data later in today’s presentation. I would like to make one final point; why business conditions in North America remains challenging we still a solid financial outlook for the year. Presently we have board authorization to repurchase up to 1.5 million shares or about 2% of our shares that are outstanding. About 10% of our existing authorization going forward we will consider further repurchases. As always we intend to continuously invest our cash to achieve the best return for our shareholders and to maintain financial flexibility given the uncertain environment we are operating in. I will turn it over to Dan Ninivaggi.
Daniel Ninivaggi – Executive Vice President: Thanks Matt. It is great to be on the call to discuss our strategic plan. Turning to slide 16. On the next several slides, I will cover our strategic objectives for each of our product segments, and review our electrical and electronics business in more detail. In seating, we have a very strong competitive position globally, and our business is performing well. Our vision for the seating business is to strengthen our leadership position globally and achieve a well-diversified sales mix. We are also seeking to selectively increase our vertical integration, and we intend to remain a leader in technology and innovation in all key areas of seat development and manufacturing. In electrical distribution, our objective is to achieve critical global scale and rank among the top 2 wire harness suppliers worldwide. We also plan to further diversify our customer mix and achieve the lowest cost footprint available. Finally, we will take advantage of our systems integration expertise to provide complete electrical architectures that offer improved functionality at the lowest cost. Lastly, in our electronics business, we will seek to leverage our industry-leading technology and key components such as Smart Junction Boxes and wireless products to substantially increase our global share. A little history on our electrical and electronics business, slide 17. We acquired the business in 1999 from United Technologies. Presently, net sales total about $3.1 billion annually, with about 70% of sales in electrical distribution and 30% in electronics. We have a significant market position in electrical distribution, ranking number 3 in North America, number 4 in Europe, with a growing presence in China. In electronics, we are the leader in junction box technology which is highly complementary to our wire harness business. Through our Smart Junction Box technology, we are able to reduce switches, circuits and fuses and design complete electrical distribution systems at lower cost and weight. In addition, Smart Junction Boxes allow us to integrate other electronic components. Turning to slide 18. Market environment for electrical distribution is undoubtedly highly competitive. It is undergoing significant restructuring and consolidation. Global scale in increasingly important, and accordingly the top 3 wire harness suppliers have aggressively sought to increase and defend their share in recent years. In addition, we only recently acquired Daleo’s wire harness business, strengthening their number 5 position. We are currently ranked number 4 globally. While we have been able to maintain our market share, our margins have been declining. Given the competitive nature of the electrical distribution segment, we are focused on increasing our global scale, achieving a more diversified customer mix and further improving our thought structure. Moving to slide 19. Despite near term challenges, we are optimistic about the outlook for our electrical and electronics business, based on the increased demand for automotive electronics as well as opportunities in power distribution, driven by alternative powertrain technologies. Electrical distribution is a critical system in every vehicle. We see significant opportunities for growth on this segment and we also have a number of competitive advantages to leverage. Our strong customer focus, low cost footprint, systems integration capabilities and our technical expertise and key electronic components, allow us to design and engineer our vehicles electrical requirements at the lowest total system cost. In addition, our capabilities in electronics, allow us to offer customers select electronic components in areas where consumer demands is increasing such as wireless products. Another potential area of opportunity rise with the emerging powertrain technologies, high voltage systems with drive, increased content and additional opportunities to add value. Lear is well positioned to take advantage of this growth with a portfolio of hybrid electric components, established technology partners and several development programs in place. Given the positive outlook for growth in this segment, we see an excellent opportunity to increase share holder value as we grow our sales and improve our margins. Turning to slide 20. We are in the process of implementing the comprehensive improvement plan for the electrical and electronics business. The major elements are shown on this slide. First, we have significant new business coming online over the next few years (inaudible) and we have aggressive plans for further growth. We plan is to focus on and leverage our confidence and key products such as Smart Junction Boxes to increase our scale globally. In addition, we plan to expand our wireless products to Europe and Asia, grow our terminals and connectors business and participate in the rapid growth of hybrid electric systems. We also see significant opportunity for continued growth in Asia where we are evaluating consolidation opportunities. In terms of cost-structure improvements, we will benefit from increasing restructuring savings as well as the ongoing transition of our global low cost footprint. We have three new low cost facilities coming on line this year and we are targeting to have the majority of our electronic components originate in low cost locations by 2010. Slide 21 provides an assessment of how the electrical and electronic business is performing in each major region and at summary of our improvement plans by region. Presently, the business is underperforming in North America. This reflects the loss of several major programs, the adverse impact of lower production as well the difficult pricing environment. We expect to return this region to positive results with significant new business coming online over the next two years, opportunities to grow our electronics business, increase savings from restructuring actions, and additional cost improvements as we complete our transition of electronic components to low cost locations. In Europe, margins have declined somewhat reflecting highly competitive pricing and a cost-structure in transition. We see opportunity to improve our results as we bring new business on line, pursue additional growth opportunities, realize the increasing savings from restructuring, and further improve overall cost structure. In Asia, we are doing well and we expect to continue to profitably grow our electrical and electronics business particularly in China. We also plan to further leverage our low cost footprint in Asia throughout the region and globally. Finally turning to slide 22. For margins, we will be under pressure as this segment transitions longer term we believe this business represents a great opportunity. Our focus for this business is to aggressively pursue the growth opportunities I outlined before and complete our shift for low cost locations. We are also are targeting to further diversify ourselves next by customer and major region. As we increase our scale in electrical distribution, focus our efforts in electronics but we have a competitive advantage and further improve our global footprint and cost structure. We expect to see our margins improve over the next few years. Longer term, we would see this segment as a strong overall contributor and a complimentary business towards Seating business. We are focused on executing our improvement, our improvement plan and optimistic about the long term potential for this business. I will now turn it over to Jim.
James Vandenberghe - Vice Chairman: Okay. Thanks Dan and good morning. I would like to start out by putting our recent developments in perspective and really give you our thoughts on the outlook for Lear. Since mid 2005, we have been restructuring our operations and implementing a number of actions to increase shareholder value and improve our long-term competitiveness. We are getting the desired results as we have now improved our operating and financial results for the second consecutive year. We are diversifying our sales as we continue to make study progress in growing our business in Asia and increasing our total sales with Asian manufactures globally. For 2007, 55% of our revenue was generated outside of North America. Importantly, with all the changes we have made and our continuing to make, one thing has remained constant. That is our focus on delivering the best possible quality and customer service. Within our segments, our seating business is performing well and as Dan just outlined we have an improvement plan in place for the electrical electronics business. Moving to slide number 25, as I have mentioned earlier, despite challenging conditions in North America we improved the operating performance of our core business substantially in the last two years. The major factors that drove the improvement in performance include global restructuring and other productivity initiatives, selective vertical immigration and the benefit of new business primarily outside of North America. On the slide 26, our recent financial results and strong cash flow have led significant improvements in our liquidity position and strengthened our balance sheet. As you can see from the slide, our cash balances are up and our net debt balances are down. In addition, we have no significant debt maturities until our revolving line of credit comes due in 2010. We talked about failed diversification and slide 27 highlights our progress over the past year. As I have mentioned earlier, in 2007 55% of our sales grew outside of North America compared to 45% in 2006 and you concede that we continue to diversify our costumer mix with increasing sales coming from European and Asian manufacturers. So to wrap up 2007, Lear delivered solid operating and financial results last year, representing the second consecutive year of significant improvement. Our financial performance has given us some flexibility to pursuit strategic opportunities and the same time preserve strong balance sheet. We are making solid progress on improving the basic structure and longer term competitiveness with the business, which included the divestiture of our interior business, restructuring of our global operations, and continued sales growth from diversification while we actively work to strengthen and grow our electrical and electronic business. So while do see the outlook in North America is going to be challenging this year, we will continue to improve our cost structure and strengthen our international operations. We believe our financial outlook for 2008 is solid and we are well positioned to capitalize when industry conditions turn more positive and when market settlement improves. In behalf of Bob Rossiter and the rest of the management team, I want to thank all of Lear’s employees for their hard work with the past year and most importantly for your solid performance. We would now be happy to take any the questions that you have.
Operator: (Operator Instructions) Our first question will come from the line of Rod Lache with Deutsche Bank.
Rod Lache: Can you hear me?
James Vandenberghe: Yeah, hi Rod.
Rod Lache: A couple things, first on the production for Q1. You said that the top 15 platforms in Q4 were about a million units in North America next year or are you looking from $3.6 million. How, is this Q1 or the first task look?
James Vandenberghe: Yeah, if we look at the C starting with the first half right now, in North America the overall industry pullback rises about 650,000 units and we see about 70% or so coming out of the first half. From on it, it breaks in our key platforms is pretty consistent with that. Now for the first quarter, we see production that our key platform is down slightly above 10%. We think from our standpoint that we will be able to contain it within the 10% variance year-over-year on the midpoint guidance.
Rod Lache: Okay and just switching gears to the electronics business. Can you talk a little bit about what the margin potential is there by 2010 and how much savings do you think you are going to achieve by shifting more to low-cost countries? And just generally, can you talk about what do you feel you need take any kind of strategic action there? You mentioned there you are the number three or number four position in electrical distribution. Is that is something that you think is a sort of a defensible position and something that where you achieve your margin objectives longer term?
James Vandenberghe: Yeah, I mean, we have talked in the past about a longer term margins target of 6.5% to 7%. We think that is very achievable. The scale is important right now. We are about 9% of the global wire-harness business in light of you know the competitive landscape. We think we probably need to be in the 15% range at least. We think we can do that internally. In some other components like junction boxes and wireless, it is really jut scaling the businesses and the competencies we already have. For example the wireless products we have a name almost entirely in North America, so that we think there is a real solid opportunity to extend that to Europe and Asia. Junction boxes are disproportionately in Europe. We think we have opportunity to penetrate new customers and expand our market there in North America. Those are higher margin products though. So, you know, we think we can get there on our own. We have an internal plan to get there. You know, whether consolidation opportunities arise that could accelerate that. You know, sort of outside of our control but we clearly we would be, you know, we would look at anything that came along.
Rod Lache: But what is the breakdown of that business regionally?
James Vandenberghe: Of the overall business?
Rod Lache: Of the electrical and electronics segments.
James Vandenberghe: Right now, it is, Europe is probably, I want to say, 16% of it. Yeah, Europe is 1.7 probably 1.7 billion of the 3.1 billion. North America is about a billion in 2007. That shifts a little bit going forward.
Rod Lache: Okay. My last one as you mentioned the hybrid opportunity. Do you have like content for vehicle on a hybrid vehicle for electrical distribution versus what a typically used these days?
James Vandenberghe: Well it is a little bit tough to quantify and I do not want to mislead anybody. The hybrid components, you know, can be quite expensive. For example, inverters or converters, you know, could be 500 dollars to a thousand dollars of contact. We are not going to be doing all of those components though and will be relying to some extent on partnerships for that. But the overall content is significantly higher on hybrid systems than low voltage systems. The Q1 in that is that it is a redundant system. You do not do a way with a low voltage just sit on top of it more or less. So the basic architecture of the vehicle stays the same. So for a high breed stand point, the high voltage systems and the converters are incompletely incremental.
Rod Lache: Ahuh. Okay. Thank you.
Operator: Your next question will come from the line of Rich Kwas from Wachovia.
Rich Kwas: Hi. Good morning. I just wanted to follow up on that electrical question on margins list for 2008. Now what is the key swing factor that would prevent you from getting back to the mid 4% range?
James Vandenberghe: Volumes obviously are a key factor and volumes on you key car lines would impact it. Right now, we think we have taken a pretty balance and a little bit conservative approach to our outlook on our volumes that would be one. Two would be the ability to get to achieve the run way savings on restructuring actions that we have already implemented or initiated. Those are probably the two biggest factors.
Rich Kwas: And then on Asian margins. I think in the past you have talked about Asian margins being above the corporate average but that there is some potential for that to come down over the next few years, you know, what do you see in Asia right now and where do you see margins going directionally?
James Vandenberghe: They were slightly running hotter than the overall business. Overall, we think longer term that do not pretty much fit the profile their product line so right now we see them settling in the 6.5% to 7% range there and as the market evolves the more localized-type vehicles for that continent.
Rich Kwas: Okay. In terms of restructuring as you look beyond 2010, what is the cadence restructuring cost that, you know, you are going to do a hundred million in restructuring charges this year. How does that fall out on 2009 and 2010 and then beyond 2010 does that drop down significantly?
James Vandenberghe: Right. We believe the pulls back and you know we talked a couple of weeks ago in Detroit at the auto show that we see in 2009 pulling back from the hundred million dollars in 2010 becoming more normalize that the, you know, $50 million range give or take amount a small amount and the outer period, we see the same impact though what could impact that is, you know, if you don’t at least decide to start to take some capacity out specifically in North America to reflect losing share that actually benefits us longer term but we would adjust. But for the most part, we think to normalize run way restructuring is around $50 million and we will get to that probably in the 2009 and 2010 time frame.
Rich Kwas: Thank you.
Operator: Your next question will come from the line of John Murphy with Merrill Lynch.
John Murphy: Good morning guys.
James Vandenberghe: Good morning John.
John Murphy: If you were to be the wiring line in this business, and this is sort of following up on another question and you decide to __3:42__ in some ceremony those are really 900-pound gorillas in that space and then, you know, after that you follow up I mean you said you had 9% in electronics business is that similar in wiring harnesses and would you have to do a transaction there? It looks like you want it as, you know, a potential partner.
James Vandenberghe: Yeah that 9% is the electrical distribution side.
John Murphy: So that would be wiring harness?
James Vandenberghe: That is the wiring harness business right.
John Murphy: So do you think with the size that they have that you can be competitive because they are much larger?
James Vandenberghe: Yeah. We think we can be competitive I mean obviously the Asian customers are extremely challenging with Gazaki and Sumitomo. We think we have an opportunity to penetrate, you know, our existing customers further and bring in new customers to invest in Europe and North America in particular.
John Murphy: Okay.
James Vandenberghe: We think, I think, from a competitive stand point too John is that we have got a pretty good footprint in North America, competitive footprint, and low-cost access to manufacturing and that is the key in that segment. And also if you look at Sumitomo over the last few years they have grown significantly penetrating the Europe and North America largely internally with some acquisitions and they have improved their position conservatively so we think, you know, we can do the same thing.
John Murphy: Okay. Let me introduce being simply about the GMT 900 and the price that it is leasing in 2008 intentionally beyond that. Are there any big launches or big vehicles that might help all set that negative makeshift that we are seeing in the short-term and long-term?
James Vandenberghe: For us, you mean what is in our backlog, I think one of the exciting programs that are out there…I do not know how much it carries the water for the 900 but got the new crossover for the BMW the X6 into the exciting product that could help carried but they think, as well as some Hyundai business under Sta. Fe and the new link in MKS crossover, so we have got some product but it depends again as you know, what happens with the 900 and how much now we think we have taken in our balanced approach to the production numbers on net platform. We are fairly consistent with our net (inaudible).
John Murphy: Again, lastly, would just think about your production forecast of 14-4 just at least in our opinion that is pretty, you know, conservative and you know there is a lot of people in line with that. If we saw some improvement in production in the second half of the year going to 2009, and given your, you know, your current restructure actions which seemed to be going pretty well and you think was it fairly good operating leverage and be able to take advantage of that upside, the potential upside in production (inaudible).
James Vandenberghe: We do believe that but as always John, it depends on which platforms are off, hopefully they are the ones that were on with a lot of contacts so as always, it just depends on what platform but yet we… if we had enough taken sales, we are pretty confident that we could convert it pretty well.
John Murphy: Next is (inaudible) the share, what was the current authorization?
James Vandenberghe: It was a million-and-a-half shares.
John Murphy: A million-and-a-half shares. And…I mean…you think…if you do the RP back again, it looks like you have a lot more room to return by the shareholders and that is growing over time. Could you potentially get a higher authorization there?
James Vandenberghe: Yeah, the authorization we got was actually sometimes we pull together relatively quickly, kind of late in the fourth quarter, so we did not have a chance to use it all, you know, something that we look at and again, we just have to balance it against other ways to enclose shareholder value but clearly, we thank the stock as, you know, as massively under valued right now.
John Murphy: Okay, thank you very much.
Operator: Our next question will come from the line of Patrick Archambault from Goldman Sachs.
Patrick Archambault: Hi, good morning.
James Vandenberghe: Good morning.
Patrick Archambault: Can you just help us dimension a little bit like on slide 8 in how does it might look for your '08 guidance? And how much do you have factored in, you know, from restructuring, I know you are going to do 100 million and spend but what are you going to make it incrementally in benefits year-on-year? What kind of margin might we be using on the 330 new business backlog and, you know, just can help us pencil to the platform next industry production piece?
James Vandenberghe: Yeah, I think if we go back to what we talked about at the North America's meeting in Detroit back a couple of weeks ago, we think that the restructuring actions that are on year-over-year basis would provide about a little over $40 million a year incrementally versus 2007 and typically, on backlog at the $300 million backlog, if you use a…you know high single-digit margin to low double-digit margin you are probably in the right range depending upon how efficient we are getting these things up and running and how the cadence of how the customers pull the product, so if you use that, you know 10% height number you will not be too far off.
Patrick Archambault: Okay. So, in the end, then I guess you know the decline, it looks like the other piece would probably has to be in the neighborhood of sort of 160 husband, if this is the Math I am doing, 150 or 160 husband, if the Math I am doing is right.
James Vandenberghe: Talking about the down-working version and the volume index?
Patrick Archambault: Correct.
James Vandenberghe: Yes. That is about right.
Patrick Archambault: Okay. One last question, on other income, obviously that was in a pretty strong for you this quarter, is that and you guys mentioned, I think the JV as being part of the driver there? I mean how should we think about modeling that going forward, is that a kind of performance that we expect to continue to improve in 2008 or was that sort of unusual?
James Vandenberghe: Well, it was a little bit unusual. The way I would think first of it is a lot of things that go to that and besides earnings in nonconsolidated…there is also royalties and some (inaudible) some state and local taxes. So it is pretty choppy line. How remodeling it implies a range of 35 million to 45 million for the full year about in expense and an average of about $10 million a quarter. From what I see, specifically in our projections for 2008, we fell to neutral because of the uncertainty in the production environment and also as we are continuing this consolidate, though this is a little difficult to see, but that business would do. For 2007, the icy venture on our portions of their earnings was positive in the range of about $15 million dollars between North America and Europe.
Patrick Archambault: Okay. So you would have $15 million positive, I guess somewhere in the neighborhood of $55 million in negative cost offsets.
James Vandenberghe: For 2007, that is correct. In Europe, we should see incremental improvement year over year. As I think I mentioned on the last call in North America, 2008 really is a year of restructuring and rebuilding the backlog so it goes a little slightly the other way. But again I think if you use that rule of thumb of $10 million per quarter liable to a line, I think you would be pretty close, though.
Patrick Archambault: Okay. Thanks a lot.
Operator: Your next question will come from the line of Itay Michaeli of Citi.
Itay Michaeli: Matt, on the cash balance, how much of the cash is domestic and what do you guys think the minimum cash requirements are going into 2008?
Matt Simoncini: Well, we think.. Let me start in reverse. We think we are going to be cash positive obviously. There may be a little bit of a cadence issue at slow start in the first quarter because of the earnings pullback and also there is the fiscal close of the quarter, would make us a little bit negative in the quarter. From a cash balance standpoint, a portion of it obviously is restricted or trapped, I think would be a better term. As far as how much of it is domestic, I am looking at our treasury shares…
Shari Burgess: 540 of it is in either joint ventures or in Asian countries in which it is a bit more difficult to get hold of it, and then in Europe, we have about 150 but we have maximum to utilize that should we achieve it.
Matt Simoncini: Great.
Itay Michaeli: And Matt, back at the auto show, you spoke about, I guess, a few hundred million, I believe it was and a new backlog opportunity. Any update there, IT has almost been couple of weeks, about when we may see some of that if at all in the course of the year.
Matt Simoncini: Yeah. No, I do not have an update but what I can say about our backlog is we do not include any high probability backlog. It is only just booked and so the way that we do it is if we know our program is going to roll off and we have not received a replacement business, we exclude it from our backlog. For a frame of reference, if you look at what we are able to book in the near term last year while we picked up $200 million incremental throwaway during 2007; there is always a level of business that is being pursued longer term and near term. Some of it is just an existing program that you are on, you get content increased. Programs do not end exactly when they say they are going to end so there are always a lot of puts and takes but there is no formal update. The number that we have is still probably our best look based on that but we do think that there is opportunity to improve the backlog number even in the near term.
Itay Michaeli: Great. Thank you.
Operator: Your next question will come from the line of Himanshu Patel from J.P. Morgan.
Himanshu Patel: Good morning. For your backlog for 2008 through 2010, can you tell us of the electronic and the electrical backlog, like how much is electronic and how much is electrical?
Matt Simoncini: Well, I do not have the exact figure broken down but it would be a little bit higher in the… actually, it would be a fair bit higher in electrical distribution, which includes junction boxes. We do not typically, I do not have the breakdown as far as electronics but just based on the base business, I would say a good rule of the thumb is probably two thirds of three quarters will be on electrical distribution.
Himanshu Patel: The electrical business, in order to achieve scale I think you mentioned, you mentioned you wanted to be about 15% of the global market to get the margin that you are looking for. So, would that mean that you need to maybe buy another asset or something or you think in total growth insufficiency where you get that?
Matt Simoncini: I mean clearly if we are going to buy something would accelerate that and we will look at what is available. There have been some assets on the market over the past year or so but you know, we have to assume that we get there internally so we are focused on the internal plan of acquisition opportunities to present themselves, we clearly look at it.
Himanshu Patel: How core is the electronics portion of that, of your business, I mean it is the $900 million business?
Matt Simoncini: Yeah. Well, particularly in the portion of the electronics business that integrates or potentially integrates into junction boxes. It is pretty core. I mean that really is our competitive advantage that we can integrate the electronics like body electronics, wireless into junction boxes or even in a more distributed architecture into different box in the vehicle and that allows us to optimize the overall electrical distribution system. So we think that capabilities in technical competency in those electronics products are important. Obviously though some of the electronic products are more important that others so there might be some rationalizing the product often as we go along as well.
Himanshu Patel: And could you sort of help me (inaudible) mention that the junction box is the core part, how much of it is that at the percentage of your total electronics business?
Matt Simoncini: It is about $450 million.
Himanshu Patel: Okay. That sounds cool.
Matt Simoncini: I am sorry. Of our total ESD business it is about $450 million in sales.
Himanshu Patel: Okay. Sorry to switch gear but you know with all those stresses in production happening to some extent in the full quarter but more in the first half of 2008, how would you describe your relations with Pier 2 suppliers, like do you see any issues that are coming up either on the PNL or even through cash flows such as may be giving them better terms to something like that; do you foresee any of that happening?
Matt Simoncini: We are constantly working with our suppliers both in North America and in Europe to kind of monitor it and keep in close contact with them as far as their financial needs and their financial help. We went through a pretty heavy time of restructuring and distress in the 2005 and 2006 time frame but in 2007 we saw a much more stable kind of environment with our suppliers. Right now, we do not see any thing material in the horizon but it is something that we are constantly looking at.
Himanshu Patel: Okay. Lastly your capex increased, could you remind this, what that is being driven by?
Matt Simoncini: Yeah, a couple of things. If you start from it back when we gave original guidance for 2007 capital spending in the beginning of the year, it was $250 million. Some of the reduction was just good old-fashion thrifting and some of it was carry over in to this year. Some of the activity that we have coming up, one we have booked billion dollars of new programs over the last 12 months and a lot of capital is associated with that in the penetration in Asia along with programs to move our modest businesses in to lower cost locations. We have some new business coming on with BMW, Nissan and those are the key drivers. If you look at our average spent at the percentage of sales over the last two years we are still slightly below what I believe our run rate is and that is 16% to 1.8% of sales in average for the last years it is about a percent and a half but the low in 2006 will higher in a way but those are the key drivers.
Himanshu Patel: Thank you.
Operator: Your next question will come from the line of Brian Johnson with Lehman Brothers.
Brian Johnson: Hey good morning. If we walk the margins in the Seating from where they were last year to the goal of the mid 600s, how far can you get in restructuring what would be the contribution of scale when if it emerges and then finally what is the chunk you are thinking of in terms of moving into higher value at your product.
Matt Simoncini: Okay. The way I would kind of look at it, just kind of walk in numbers when the biggest driver in the margins year over years is the pull back in the North American markets, significant pullback in the North American market and the fact that we have large pickup trucks and full sized SUVs pulling back over 10% on a year over year basis. Typically what we see on volume and mix…
Brian Johnson: The fourth quarter that would have been implied by the first three quarters, so you had earned 580 roughly through the first three quarters. That would’ve suggested that you have to print 170 million in Q4 to get to the 750. You ended up printing closer to 180 in the Q4 and still bid 750. Did you have to revise downward anything from the first three quarters?
Matt Simoncini: Well we, I think what’s gold is that from a production standpoint and atop platforms in North America, it is probably one of the weakest production quarters in the year, and they are throwing off some of the excess inventory that they trade into the fourth quarter. So I think that than more than anything. Now what did happen was we had built in the inner third quarter, we had built in some contingency because we actually thought the shutdowns would be greater than what they actually ended up being.
Brian Johnson: But then, why didn’t the 750 end up higher? You know what I mean? If you did 580 through the first three quarters to get to the 750, you would have only had to do 170; you did closer to 180, so why wasn’t the full year 760? What am I missing?
Matt Simoncini: I think we did 570 through the first three quarters. I got a little bit lost in the math.
James Vandenberghe: Right. That’s the difference. There was 14 million in computers income in the fourth quarter…
Brian Johnson: Yeah, okay. Last one: Maybe, I’m trying to understand what is different about your business in 2008 than, let’s say, 2005 where you had a pretty sharp downturn in some of your key programs and you saw much deeper fall-off in margin here. You’re looking for a pretty steep 12% decline in your top 15 platforms but only are expecting a modest decline in margin. Is it the fact that you’re no longer in the interior trim business, or what is different about your business?
Matt Simoncini: Well, there are some of the factors that are different. First and foremost, we divested the interiors business, which was a fair reason that you can drag out earnings in that timeframe. Two, we’ve completed a lot of restructuring actions and made a huge investment in restructuring and we’ve improved that footprint which has lowered our infrastructure cost. Three, we’ve seen growth and improvement in our international operations, and finally we were still struggling with the impact of observing a lot of the commodity cost increases, and while they’re still pretty high, we’ve been able to work with our customers in finding design solutions that can help mitigate the impact of those increased commodity costs.
James Vandenberghe: The other thing about 2005 is we were looking at a record backlog of new business and basically all their platforms, about 80% of our platforms were changing over, so we definitely have a lot more involved in launch calls and a lot more in support for businesses and that’s not the case now.
Brian Johnson: Okay, fair enough. Thank you very much.
Operator: Your next question is a followup question from Rich Kwas of Wachovia.
Rich Kwas: Yeah, hi. Matt, just a quick followup on SG&A here. It looks like SG&A to sales ratio increased pretty materially on a sequential base. Usually, you get a decline from Q3 to Q4. What was kind of the big driver there, on the SG&A?
Matt Simoncini: A couple things. One is, first and foremost, it’s the book of business that we’ve booked a billion dollars in new business coming online, the investment that we’ve made in infrastructure in Asia and foreign exchange impact of Euro-denominated centers. From a runway basis which I would say that you should probably weigh in the mid-three’s to high-three’s as a percentage basis as an ongoing basis. That’s kind of high; we’d look at that line.
Rich Kwas: That’s helpful. Thank you.
Matt Simoncini: This morning, I’ll take one more question.
Operator: This morning’s final question will come from the line of Jonathan Steinwich with Morgan Stanley.
Jonathan Steinwich: Thanks. Good morning, everyone. Can you hear me?
Matt Simoncini: Yeah, good morning, Jonathan.
Jonathan Steinwich: Good. Just a couple of questions here. I think in the past, you’ve talked about on a restructuring basis, about 90% of the book restructuring expense being cash; is that still the way should think about things going forward over 2008-2010?
Matt Simoncini: No, I’m looking at it slightly differently because of the incremental charges we took in the fourth quarter that came in late in the quarter. This year, I think we’re going to have incremental cash usage if we start catching up. The cash used for restructuring in 2007 was about $100 million, and you’ll start seeing the catch-up over the next two years. There may be some timing differences, but overall we are still comfortable with 90% cash. There are obviously some things that are carrying over into 2008.
Jonathan Steinwich: Do you have an amount of what you didn’t put out in terms of cash used in the fourth quarter that would be carried over and be paid in cash the first half of this year?
Matt Simoncini: It would be the top number to peg based on a timely…some of the payments, but right now you need in the ballpark of around $50 million incremental to year-over-year, you’d be fairly close.
Jonathan Steinwich: Okay. Just to follow up on some of the questions about the cost structure on the electrical/electronics side. Can you breakdown that on a rough basis, sort of what the fixed versus variable matrix is? I’m just trying to understand; I didn’t intuitively think of this as a major scale-driven business in terms of from a manufacturing perspective, so where does scale sort of enter it in terms of really getting the operating leverage? Maybe if you could just give us some insight, maybe what your utilization is, that kind of thing you want it to go to.
Matt Simoncini: Yeah. I guess I’d break out the electronics from the electrical distribution. In electronics, there is an investment in technology there, and there may be further investment in technology, so scale is important. For example, our junction box technology we think is world-class. If we could scale that technology, it’s obviously the contribution...and terminal connectors, which has been focused largely in Europe. And so we’ve had overcapacity; that’s largely a revenue play. We need to build more scale to basically use the capacity we have and absorb some of the corporate…but basically the corporate infrastructure.
John Steinwich: So, basically a wire harness; it’s get to a lower-cost location and add business at the same time.
Matt Simoncini: Correct.
John Steinwich: Okay. Thank you.
Operator: And at this time, there are no further questions.
James Vandenberghe: Okay. I just want to thank everybody, and once again thank all the employees for your contribution this past year and I’m looking forward to your contributions going forward. Thanks, everybody.
Operator: Ladies and gentlemen, this does include Lear Corporation’s fourth quarter 2007 Earnings Conference call. You may now disconnect.